William Santana Li: All right. Welcome everybody. We have a very large gathering. So let me do some ground rules first. But first and foremost, thanks everybody for taking time out of your busy day to talk about all things Knightscope. For those of you gone through this with me a few times just bear with me. I need to put the forward-looking statements disclaimer, and looks like it might be too long, so I might need to do it in a couple of shots here, but we need to put that in there just for safekeeping. And then the video that you just saw will be on our YouTube channel here shortly. And you’ll be able to grab that and we can go over today again to answer any questions. And I need to talk to counsel to stop making these disclaimers so long. But anyway so a few ground rules before we get going as I let people in here. This is intended to be questions from almost every angle. But in some cases, obviously I’m an officer of a publicly traded company. I may not be able to answer your question exactly the way you asked it, so I might rephrase it or I’ll tell you I can’t answer it, but I will try to be as responsive as possible, as long as we can answer it, most likely I will. Obviously, we wouldn’t be sharing any MNPI, or material non-public information. So we want to be mindful of that. And then Henry has already got his polite, hand raised, beat me to the punch here. But because we have such a large group the easiest way to do this the chat gets a little bit too much. It’s just me on this side. So the easiest way to ask a question, if you go all the way to the bottom of your Zoom there, you can click on the little reactions button. And on that little reactions emoji thing, there’s a raise hand. If you click on raise hand, then I know that you’ve got a question. And let’s try to do this kind of one at a time. So we’re not talking over each other. I will stay here as long as you need me. I want to make sure everyone’s questions are answered. So we’ll just keep going through the easy softball questions, and I’m sure somebody has got a zinger in there or two, which is fine, which is why we’re doing this. So with that, I’m going to prioritize the people with the hands up. And then if we have a lapse there, I’ll go through the chat. But why don’t we start with Henry since he was first in line there. So go for it.
Q - Unidentified Analyst: Hi. Thank you so much for what you’re doing. Really appreciate the work you’re doing. I think it’s so important for our communities. I was a little late tuning in. Sorry if I missed any of the initial information on family stuff happening. So…
William Santana Li: No, worries.
Unidentified Analyst: …for that. But thank you so much for the work you’re doing. I think that’s really – that’s what I wanted to lead off with. My question is – my – let me introduce myself. I’m Henry Schueler, I’m an investor, early investor. And I’m also a Founder and CEO of Myself. I’m curious if you’re interested in working with local communities, if you’re already working with towns and governments I’m sure that’s part of your order backlog. And how would I sit on as a trustee on the city council in my city. So how would a trustee go about engaging with Knightscope and helping to make our community safer in the places we live and take care of our families?
William Santana Li: So appreciate the support and the question. The easy-peasy is for me to share my screen. If you go to Knightscope.com, for that particular question, we do have something a little controversial that we started and I’m trying to find it here. If you go to innovate public safety at the bottom, there’s a literally a mayoral challenge if you want to read about that. The concern I’ve got is a lot of the safest places in the country are really low population, are kind of higher income, medium income, six figures and for whatever reason, maybe it’s the weather likely in the Northeast. If you want to read through that, that’s probably the best and easy way to engage. And every city in municipality is very different. In some cases, sorry, let me let some people in here. Some cases it’s the mayor that really wants to drive something home. It might be the city council member, a single member who decides, okay, we need to do this and that’s literally has happened. It might be the Chief of Police. It might be the Sheriff. It might be a hospital administrator. Again, every town and city is so different. It’s really difficult, Henry, to just say, do X, Y, Z, and then everything happens exactly right. But getting the dialogue going is probably the best thing. And getting a decision maker or two to sit with our team. And now that we’ve done this a lot more than 2 million hours across the country, I don’t know, six, seven winters and summers, like we’ve learned a thing or two. So, usually, it’s best to have a dialogue and be able to assess the situation and go. I don’t think we can help you because you asked for this, this, and this, and we don’t do that and just be super frank. In some cases, it might be a perfect fit, and then we can have an initial use like what are you trying – what is the problem that we can potentially solve and then we can get the decision makers in the process going. Honestly, some cities and municipalities have shocked us how fast they can move, and some are complete opposite, and it doesn’t necessarily correlate to small, medium, or large, like what you would think, hasn’t been our experience thus far, but I appreciate that, Henry.
Unidentified Analyst: Great. Yes. Thank you so much. Well, thank you so much for all you do. I appreciate the answer and I’ll start digging deeper and bring it to the right people.
William Santana Li: Awesome. Very much appreciate it. Thank you. Yvonne?
Unidentified Analyst: Hi, Bill. First of all, thank you so much for being such a hands-on guy. We love that.
William Santana Li: I’m trying, I’m trying.
Unidentified Analyst: Hey, I hope you never outgrow being hands on. Maybe I missed it. I’m a little concerned about this backlog. Is there a timeline for catching up or being further along?
William Santana Li: So this is good and bad and a little bit of humor. If you remember the old I Love Lucy episode where they’re making chocolates…
Unidentified Analyst: Bananas, yes, the chocolates…
William Santana Li: And then they stopped to start eating them because there’s too many coming at the same time. It’s been good news and bad news. So years ago we would be sitting there going, will we get a sale? Do will anything happen? And now we’re getting closer to rinse and repeat. So on the positive side we have a backlog, right, to have multimillion dollars worth of pending or potential revenue is wonderful. The team has started shipping stuff, but the sales team keeps putting more stuff in, right? So there is this attention. The primary root cause of the problem, I would say the primary one is the supply chain issues and it’s – I’ve covered ad nauseum either it’s a wiring issue problem, it’s a chip problem, it’s a resin problem, it’s a trans resistor problem or something that holds things up. So it’s very lumpy. We are we are shipping. It’s just not as kind of consistent that we want. And frankly, you want the backlog growing, but you want to make sure you’re realizing the revenue. So one big thing that we mentioned in the video that we’re doing is to change the production process itself, how we manufacture the robots at Knightscope headquarters here in Silicon Valley is, I’ve said this before, our current machines take 100 hours to 120 hours to build one or crudely speaking, one a week, which is not good. The new machine that we’ve now started building with big asterisks on the supply chain issues, targeting to build one or two a day. And that’s going to make a big difference. Staffing also makes a big difference, needing to hire some additional folks once we make those big changes. The board, myself, the team, everyone is scrambling to try to get these out as fast as possible. I share your concern, Yvonne, because that’s revenue that we want to recognize. I think the last point if you didn’t catch it in the video, we did $5.6 million of revenue last year. We hold north of from the figures that we shared about $5.2 million in the backlog. So it’s a little crazy to be ending the first quarter with almost the same amount of revenue that we had the entirety of all last year. So that’s another – a more positive way to look at it, but it’s a top of mind for all of us. We’re working through it. We’ve hired a senior supply chain manager. We’re out recruiting a plant manager and we’re working on it, but it’s certainly a concern.
Unidentified Analyst: Thank you.
William Santana Li: Of course, John Patrick.
Unidentified Analyst: Yes. Hi, Bill.
William Santana Li: Hi.
Unidentified Analyst: Hi. I wanted to ask you about social media.
William Santana Li: Oh…
Unidentified Analyst: Yes. Well – I know it’s top of mind for you to get the buzz going and you’ve done a great job in communicating with investors and a lot of the graphic and art and communications work looks really good to me. I thought…
William Santana Li: All right, folks, if you’re not – if you’re not on speaking, please – kindly please mute would be great. All right. Sorry, John Patrick.
Unidentified Analyst: Yes, I’m back. So with the social media, a lot of it might be fun, but not necessarily helpful to Knightscope. But LinkedIn, as you know, is more of a professional kind of a social media network.
William Santana Li: Were you saying the others are unprofessional, John?
Unidentified Analyst: Well, there’s – there are some signs of it. We’ll see what’s going to happen at Twitter, but LinkedIn is pretty serious stuff.
William Santana Li: Yes.
Unidentified Analyst: And I took a look there today, and I did find Knightscope, but the latest post there from yourself was, I think, seven months ago. And so, it looked like it was dormant. And also – but…
William Santana Li: But you there – if we can connect offline and you can show me like, I post probably personally once a week, if not – if not more, the company posts literally every day. So I’m not sure where you were looking.
Unidentified Analyst: Okay. Well, the intersection then must be the company and you at the same place. So if you’re posting to your own page as opposed to the Knightscope page, I’m speculating on that, but it definitely did say it was seven months since there was a post. So I have somebody take a look to see why it’s saying that. But actually my suggestion, my point is if you do a search on public safety on LinkedIn…
William Santana Li: Yes.
Unidentified Analyst: There’s a lot of stuff there, companies and people, and there’s a section I found that says people that are talking about public safety. And there’s about a dozen of them and they’re very senior people some in local governments, some in industry connecting with some of them might be helpful to try to spread the word because those people in turn are connected to people who are reporters.
William Santana Li: Yeah. So if we go here to the vis-à-vis admin view for LinkedIn, you can see that we’re posting literally every day. So I’m not sure where the – where the issue might be. If you look at mine, I’ve got 11,000 almost followers and…
Unidentified Analyst : Right, I did see that.
William Santana Li: Posting there all the time. So must have been some disconnect. But our lead generation team certainly focuses on getting as many people engaged as possible, both offline and online. Some of our team is pretty astute on the LinkedIn side of things.
Unidentified Analyst : Yes. 
William Santana Li: But take your point. From what we found, it’s never one thing I always get challenged internally from my team, like, what’s the one thing we should be doing to, like, it’ll all work. And I often go back to my days in Detroit where if you are trying to sell a car, you probably marketed it 17 times before you literally sold it. Like, you got to think about the regional dealer, the local dealer, the automaker, the leasing finance company, the brand, the nameplate, and then they have offline, online, and the number of permutations though. So, to me, in order to be effective, it’s got to be, “all the above”. And we’ve got to be as within reason everywhere as much as possible to get the word out. And part of it’s today just engaging with our supporters and our investors to help get the word out.
Unidentified Analyst : I was thinking the announcement about Rutgers that’s a very positive announcement. So on LinkedIn, every university is on LinkedIn.
William Santana Li: Yes. 
Unidentified Analyst : So, a blurb, a short article, kind of like that mayoral challenge you showed a little bit ago, if you could start posting that on university pages…
William Santana Li: Yes.
Unidentified Analyst : And, public – people get that intersection of public safety universities, there’s got to be a lot of opportunity there.
William Santana Li: Yes. And I think that goes the same with if you go under, like what we do here this is all new as well. And you can see the different verticals that we’ve got. And for example, having a major airport involved and then being able to have that blog there to be able to showcase kind of what we think should happen with a requisite client can also be helpful. But one of the key things I would like to convey is us making that announcement, then our sales team and our marketing team for all the leads that they’re working on, they can use that content. 
Unidentified Analyst : Yes.
William Santana Li: It doesn’t have to be online. It’s like, I’ve been talking to so and so university, look what probably a different way to say it is landing our first hospital, our first casino was really hard. Getting the second one was a little bit easier, the third one, a little bit easier on and on and on, and then it becomes a little bit rinse and repeat. But yes, Rutgers is a huge deal for us through the acquisition of CASE Emergency Systems, I think, that thesis of having some cross selling over time because we’re literally talking to the same folks is going to be a benefit. But it takes some time to get through the whole process.
Unidentified Analyst : Right. Okay. You’re on the case.
William Santana Li: We’re on it. We’re on it. Not perfect, but we’re doing the best of what we can with the resources we have.
Unidentified Analyst : All right. Keep up the good job.
William Santana Li: Thank you, sir. Mark [ph].
Unidentified Analyst : Hello, William.
William Santana Li: Hi.
Unidentified Analyst : Thank you for doing these calls for us. We really appreciate it. My question is about the ATM, how many shares have we issued under it and at what price? And what’s the current total outstanding versus when we came public?
William Santana Li: You are going to test my memory here. Hopefully I get these roughly right? If I get them wrong, I have to refer you back to the regulatory filings at ir.knightscope.com to get the actual correct numbers, but just from memory here.
Unidentified Analyst : Yes, rough estimates
William Santana Li: Recent filings, so the ATM for the rest of the benefit of the group is an at the market facility. And it’s to draw down capital as efficiently as possible to kind of avoid a large, huge financing that’s highly diluted. Remember, my entire net worth is in the company, I’ve got seven million shares, I don’t want to see dilution as much as anyone on this call. But the company does need capital to continue to grow. So we need to do it as efficiently as possible. If I’m correct, I believe the recent 10-Q filing we did on Friday for the first quarter, 2023, I think, we drew down during the first quarter about $3 million-ish or maybe a $1 million a month or so. And then in terms of outstanding shares, again, from memory, I think, we’ve got 44 million shares, common outstanding. There is probably ten million shares of Class B stock that doesn’t trade. That’s kind of the Founder’s shares. And then there’s probably another ten million of preferred stock that never converted as part of the public listing. Just a refresher because we didn’t do an underwritten S1 IPO like a normal company would have. We didn’t have an automatic conversion for all those preferred shares to convert to common. So some people decided to keep their preferred shares, which basically hold a 1x liquidation preference, but there is no other dividend or any other kind of financial benefit. And some people just decided not to put the shares at their broker or what have you. So, that’s 44 plus 20, 64 million. I don’t know the answer off the top of my head on the where were we 15 months ago. But hopefully that’s enough to get you started.
Unidentified Analyst : Yes, appreciate that. So, a million a month are we actually getting at the money? So today we would get $0.57 or whatever it was, or…
William Santana Li: If we drew down on it.
Unidentified Analyst : [Indiscernible] for the broker. Yes.
William Santana Li: If we drew down on it, it’s at our discretion when we do it, how much we do it. And we try to obviously minimize the amount versus doing the opposite, which would be like, let’s go raise $10 million or $20 million at these share prices.
Unidentified Analyst : Sure.
William Santana Li: It’s not something I get all too excited about. So we’re trying to – we’re trying to be careful. Trying to be careful with it. But back to some of the earlier questions on the backlog, do you think it would be smart for us to draw down a little bit of capital so we could hire two more production technicians so we can get the backlog out faster? I think if everyone knew what I knew, you would go like, why are you even asking me this question? Just go do it. And so, we’re trying to be very careful on how we go about doing it. And you know remember that the last part of the video there were kind of seven key aspects to be able to improve the cash position. And it’s not just the ATM. So a bunch of people joined before after the video. So let me just go through this, if that’s okay, Mark.
Unidentified Analyst : Of course, sure.
William Santana Li: So, the cash position needs to get improved, right? So there are seven things that we’re working on. One is just the sales growth. Obviously you’ve seen that we’ve been putting out good positive news, almost like clockwork on a weekly basis. So just continuing the sales growth and momentum. Remember that we have financing partnerships with both Balboa and Dimension funding. And how this works is for some of the orders that’s appropriate, we would get that financed. So we actually have the cash in hand for obviously a fee, but it helps the cash flow side of things. Obviously we need to buy materials to get through the backlog. There is deployment times and everything else. So that can help the cash position. We need to deliver on the backlog itself, right? Wherever we’re at, $4 million or $5 million or more dollars that’s cash coming into the company. The ATM we just spoke of, Mark [ph]. Cost reductions, remember we announced a 20% reduction in force at the beginning of the year. And some of those cost reductions and actions that we took there will continue to help us in reducing the amount of cash that we utilize. We also announced that we’re targeting to get to profitability here in the next 24 months, and part of that’s improving all our margins and getting our costs down. So, the good news here on the telecom side is our clients are using the service and using it a lot, which means they’re eating a lot of data. We’ve been taking a lot of actions to reduce – whatever we can control from a software standpoint to reduce those expenditures. And then we’re also very hard pushing on getting the private LTE and lower types of cost for us to reduce that expenditure outright. The service costs need a good amount of work in terms of parts, and logistics and the amount of maintenance and service. But remember, if you drove your car 24x7 for 30 days in a row and never stopped, we took care of your fuel, you probably would need some service at the end of the month. And if you did that for six or twelve months, you definitely would void the automaker’s warranty. So, that’s a level of duress that these machines are going through. So, you got to have some maintenance, and service and support. And then there’s obviously cloud costs. And then we’re looking at a non-dilutive debt offering. So the ATM is not – the point here, Mark [ph], is that the ATM is not the sole source to fix everything. We want to look at this kind of systemically.
Unidentified Analyst : I appreciate all the conscious thought that you’re giving to it. In a related question, a whole lot of chatter in the chat about delisting. Are we going to be able to avoid that, do you think?
William Santana Li: So delisting, so we actually two things for Nasdaq, where Knightscope is required to meet two of financial metrics. One is you have to have a $50 million market cap which we did get a notice for. And then we also have to have a share price that’s over a $1. That is also an important point. If we are able to – so a few points here, if we’re able to get above a $1 or above $50 million market cap for 10 trading days in a row then that gets it cured. So NASDAQ gave us a notice of them, us and several hundred companies, because obviously the economy is not doing all that great in some aspects of the markets. So we have 180 days from the day we got the notice to cure the problem. Typically, not always, but typically if you are not unable to cure the problem within those 180 days, you can ask NASDAQ and petition as to why you should get another 180-day extension. So whichever way you want to look at it, we have plus or minus six to 12 months to fix the problem. We don’t control, I get a tons of emails and text messages like, Bill, you need to fix the share price. I don’t control the market. That’s frankly, not to be funny, but that’s everyone on this call and not me. And supply and demand, what I can do and what my team and I can do together is improve the financial performance of the company, keep it growing, keep telling the story to whoever will listen. But the rest of it’s kind of up to the market. We don’t control pandemics or bank failures or interest rates or inflation or the like, but, I think, we have more than a reasonable chance that over the next six to twelve months that continued performance, call it financial performance and getting to profitability and the company growing. It’s kind of, I don’t know, from a personal standpoint, it’s really hard for me to understand a company is growing double digits at the intersection of four important technologies. AI, autonomy, robotics and artificial and electric vehicle technology that we wouldn’t have the eyes and ears of a good amount of investors so we just need to kind of continue to prove ourselves. But we’ve got a shot to fix it, but this is a two-way street, and we don’t control everything. Part of it’s the market, which frankly, Mark, you and the rest of the investors on here represent.
Unidentified Analyst: Thanks very much for taking the tough questions, Bill. Really appreciate your straightforwardness.
William Santana Li: Of course, of course. What we’re doing is technically extremely difficult, and if we’re not willing to engage with people and have a frank discussion like this is not going to – it’s not going to happen by itself. So appreciate you taking the time, Mark. So let’s go on to [indiscernible].
Unidentified Analyst: Yes, thanks for taking my call. So if I look at the – we raised on the before public, I think the cost base is on that was around $8 or so, just – and the current price is around 57, and just want to figure out is, was there any like split or something that changed the cost basis, or am I misreading how the previous investments worked? And I have follow up question on that.
Unidentified Company Representative: Of course. So the number $8 is one off, we had numerous rounds, so again, don’t quote me here, make sure to go back to the regulatory filings, but notionally speaking, the seed round was done at, I don’t know, I want to say $0.33 a share. We did something at $0.80-something a share. There was a buck something and then there was $3, there was $8 and there was $10. So you got to, and you’ve got just before the public listing, we had about 35,000 investors, all the way down from $0.33 up to $10. So I wouldn’t say that eight is the number one. Two, there has not been any stock splits or the like, I guess for the benefit of the group, I’m going to give you a slightly longer answer because I think a lot of people might have a similar question. So first and foremost, I just want to reiterate what I said earlier. We or Bill does not – we don’t control the stock price. It’s literally supply and demand what’s out in the marketplace. So if a bunch of investors that bought in at $0.33 a share decide to dump 0.5 million, 1 million, 2 million shares into the market, and there isn’t a counterparty on the other side to buy a bunch of shares, well, what’s going to happen? The share price is going to go down, right? So that’s one thing to consider. Another thing to consider is the overall market is especially for micro caps or small cap companies, anything under $1 billion has been – hurt pretty hard from the tech downturn. Frankly, you can almost watch it the interest rates go up and share prices go down. It’s kind of almost tied directly together, feel that way. You’ve got inflation, you’ve got a bunch of issues, and then you got a bunch of short sellers. They’re putting pressure on the stock. We don’t control any of that. And I haven’t sold, we took the company public. I didn’t sell a single share, I haven’t sold a single share, don’t plan on selling a single share. So all the pain and suffering that a lot of people are feeling, I’m literally on your side, financially aligned. So I don’t want anyone ever thinking that, we’re doing something odd that would be not in the best interest of the shareholders in the long-term. It’s really frustrating. I mean, we’re trying to do something positive for the country and for someone to be out there shorting the stock, like, okay, you legally have the right to do that, but you’re probably going to end up on the wrong side of history for doing it. So all we could do is keep telling the story, get the financial performance, and the way to cure it is you got to have more buyers for the stock and sellers. I mean, it sounds to almost too simple, but that at the end of the day is what ends up happening. So hopefully I answered your question. Probably not what exactly what you want to hear, but it’s kind of.
Unidentified Analyst: That’s fine. A follow up question is if the valuation pre-IPO was pretty high rather than trying to go through this listing and de-listing process or whatever, it looks like the public markets are not valuing the stock as high as it was in the private market. Can you just take this back private?
William Santana Li: So I guess, there’s two answers. One, as an officer of the company, I legally have a fiduciary responsibility to look at everything regardless if I personally like it or not. I don’t know how to do that basically. You would have, in order to take it private, like if I’ll put myself, so not to use you as an example. Let’s say I invested at $10 a share, and then we took the company private at $1 a share, $2 a share, $0.50 a share like I’d be pretty cranky. I don’t know how to physically do that transaction and then you’d have to go raise some capital to go along with it. Like everything has to be on the table. Like, I don’t think I’m speaking at a turn here. I don’t know how that cures the problem. Unless you had a large financing source that would be willing to give the shareholders an appropriate price, right. And then have enough capital when you’re private to grow the company. So, as I said, everything needs to be on the table. I don’t know exactly physically how to do what you were suggesting that would be in the best in – I’m sorry, I need to caveat that, that would be in the best interest of the existing shareholders, that footnote is kind of really important, right.
Unidentified Analyst: Yes. Got it. Yes. Thanks.
William Santana Li: Of course. [Indiscernible]
Unidentified Analyst: Yes, hi, bill. Thank you. I want to echo the sentiments of everyone else. Thank you for your availability. It’s refreshing to invest with the company where the CEO is so available to the shareholders. I did purchase in 2019, I believe it was Series S preferred. And considered a long-term investment, had it been up to me, and I’m making a statement, and then I do have a question. I would’ve loved to have seen the company stay private if it perfect world, right. Grow and grow and grow like you’re doing as fast as you’re able, you’re pulling on the supply chain, you’re doing as much as you can. I appreciate that and from the whole team. Grow under the radar and fill Wall Street bags for you to go public perfectly. Perfect world that’s what I would’ve loved to have seen. So my question is I’ve kept the preferred, I have not converted. I don’t know what that exchange rate or even what that process would look like. I had never seen the type of public raise that you had where common shares were sold to the public. Could you maybe inform us how, how was that beneficial initially and long-term to both the company and to us as shareholders for having that last phrase or common shares were issued.
William Santana Li: There was a public, three words that got cut off, and then I missed the sentiment of the question. Can you re-ask the question one more time?
Unidentified Analyst: Sure. What is – okay, what is the benefit initially and long-term to the company and to shareholders for having the common share public fundraise kind of make it listed?
William Santana Li: All right. So a different way to ask the question is like, why the hell did you take the company public?
Unidentified Analyst: Without saying that, because I figured it…
William Santana Li: That’s fine. That’s fine, that’s fine, that’s why we’re here. So at the time we had a few things to consider. One is the – we had been private for nine plus years and had raised, I don’t know how much money through, well, I do know right before the public listening, a total, probably north of $120 million. I didn’t think it was possible or viable for us to do another Reg A offering. And what we really needed was to raise the $40 million, while we were private on our – don’t quote me here, probably would’ve been our fourth or fifth Reg A. And I just – running a Reg A is really expensive. It may or may not have gotten done. It was one thing to consider. The second thing to consider is because we had been doing Reg A since 2016, we had all the costs of being publicly traded without any of the benefits. Like we couldn’t – there’s some kind of debt and debt offerings that we weren’t able to do. We didn’t have access to the wider capital markets. And you got to think through the whole aspect. So at the time, not knowing, you can never time the markets as much as people think you can. That path was viable for us to raise some additional capital and listing it was kind of one way to do it. We do have access to monies that probably we wouldn’t have before. But now you’re under the scrutiny of the public markets every day, which is I guess on a personal, it’s a little weird, right. Like you’re selling a house and everyone in – every day is in your face going, this is how much your house is worth. This is how much your house is worth. This is – by the second, it’s like kind of weird situation to be in, it is what it needs to be. There are some brand aspects. There are some companies that rather client – prospective clients that could prefer to work with a publicly traded company. Yes, rewriting history, I don’t know, would we have done it again? Probably, but because at the time I didn’t have confidence of doing another Reg A would get done is probably the crux of the question. But we’re here now.
Unidentified Analyst: Okay, good. And one quick statement and I appreciate the time. I’m going to channel a precious middle investor called Rick Rule and kind of speak to the rest of the investors. The delta between a stupid low stock price and the reality of a high growth company is where fortunes are made. Thank you so much for the time.
William Santana Li: Thanks for that. I don’t think I could say that, but you can. Oh my god, Sam, been a long time. Sam, are you there?
Unidentified Analyst: I’m here. How are you, Bill?
William Santana Li: I’m hanging in there, Sam.
Unidentified Analyst: Yes, so am I, original investor at less than the dollar it go all the way up and come back down. But that’s not my question. That is as it is. My question, which I’ve asked you every year is why are we not selling more of the K3, K5 robots, which are revised, working very well, problems all sorted out. It seems like the sales folks are not just telling the story to the right people or there is no demand for it for some other reason.
William Santana Li: Sam, I appreciate you being on the call and thank you for being a long, long, long time investor. And yes, Sam asked me this question religiously almost every year. Like, why aren’t the sales going up faster and higher? If I just step back just objectively Sam, I think there’s probably a few different factors. There isn’t one thing. So the first one, I would say that the premise is a little bit off because we’re sitting on, I don’t know, somewhere near $3 million of backlog of orders. So that’s – to say that we’re not selling anything is not good. Are we delivering? That’s a separate problem. But we are selling I think the second issue is I got taught this by my Co-Founder some time ago. He’s an ex-Law Enforcement Officer, as you know, Sam, and he warned me, and I think he’s been right for all this time was the law enforcement and security market is not – and I’m going to try to do this as politely as possible, not the most technologically progressive sector in the world. And it takes a really long time to convince people that changing is kind of the right way. So I think we’ve got the little selling against the grain, Sam, which investors, and people don’t want to hear that, but you’re having to educate a market, which is in a lot of cases not good. And then a third, Sam, to be fair to the team, we’ve been strapped for resources up until recently we never had a proper full sales marketing team. Not that we’re fully completely staffed right now, but we have enough people that are generating enough leads and enough demand that we’ve got the qualification process sorted out. We kind of know how to do this and we’ve got the right contracting, we’ve done enough legal and cyber and everything else. So I think it’s three things that have not helped us. But that is to say this is not – should not be viewed as the same conversation Sam, that we’ve had for a few years back when like are we going to sell anything this month? Is anything going to come in? That’s not the case now. Now the problem is the shipping and delivering side of things, should it go faster and hire? Yes, that’s a little bit of frustration, Sam, because we’ve got clients that have renewed four years, five years, six years, seven years. You don’t get a client to pay you full price for seven years, or more than half a decade and you’re not creating value for them. So I think it’s a combination of all those, Sam and we’re working the issue, but that’s kind of my viewpoint, Sam.
Unidentified Analyst: Okay. I hope the government steps in and fills the offers.
William Santana Li: Well, I think another way to look at it, Sam, if we want to look forward without me getting at a step here, I think the federal government is a very large opportunity that’ll take some time. I think us landing New York City and NYPD 10 years in the making and we’re really excited to be deploying that machine, hopefully here during the second quarter that opens up another large avenue. And I don’t want to say it’s sheep because it’s not, but having the federal government and New York City as a client will help us with other clients. That’s no doubt. And I think if you look at, having several publicly traded companies as clients is a big deal. Lowe’s is a client of ours. PG&E is a client of ours. PENN Entertainment is a client of ours, ABM is a client – these are all multi-billion dollar companies and some may be able to scale as they have more and more time. But Sam, I’m frustrated as well, but we’re working as hard as we can to try to pick up the pace here.
Unidentified Analyst: Okay. Good luck.
William Santana Li: Thank you, Sam. Barry Haynes [ph].
Unidentified Analyst: Yes. Hi, Bill. Thanks so much for doing this. So I had a couple questions relating to the gross margin because the solving this the stock price problem requires kind of getting a free cash flow neutral and kind of starts with the gross margin. If you have a negative gross margin, you can’t never get there. So I’d love to just drill down on that a little bit and maybe you could talk first of all about you mentioned the production movement from cells to assembling line how much could that adds the gross margin? What are the other key steps you see to get the gross margin up and what’s sort of the goal? If you go out two, three, four years, whatever, where do you think you can get to on the gross margin? Thanks.
William Santana Li: Okay. So the gross margin for us as a company is a little convoluted. So the gross margin, as you can see in our regulatory filings for product related sales like through the acquisition for all our stationary stuff, it’s more like a product sale. Like, you had – you sell the product, you may sell a service contract or something that go along with it, but there’s a margin on that product kind of like when I was back in Detroit, you sell a car to the dealer, you have a margin. There’s variable costs, there’s fixed costs, and it’s abundantly clear. In our case, with the Machine-as-a-Service, it’s a little odd, right? We don’t sell the machine outright. We don’t sell the software outright. We don’t sell the data transfer outright and everything else. You have a bill of material for the machine that gets depreciated over three, four, possibly five years at some point. And you are using that to calculate the gross margin of which the revenue is obviously a part of that. The telecom cost, the service cost, the labor associated with the assembly of the machine and then the cloud costs, right? And so it’s a little weird because you need some scale for this to work. And a good example might be the KNOC, the Knightscope Network Operations Center. You need to run, let’s say you have a staff of four people that can run 168 hours a week, right? They need to run 24/7. Just because you added the third, fourth, fifth, or 60th or 70th machine, it’s not like we’re adding additional people to monitor those machines. So you need a little bit of scale, Barry, and that’s the thing that doesn’t always come across. And then the assembly portion also makes a huge difference. If us taking 120 hours and you can pick your hourly rate and we can build something with less than 20 hours, you can do the math real quick and go, okay, that’s going to be material, but it’s not going to be one thing. You’re going to have to keep the revenue going up. You need to get the telecommunications costs down, which are material. You need to get the service costs down. You need to get the cloud costs down, and you need throughput. You need to get these things out the door faster. And because we kind of see how we could there’s possibility to get there is why we had the nerve, I guess, to say that we can get the profitability in the next 24 months. And obviously, at the end of the day, it’s also the fixed cost, right? You need to keep the team as small as possible, as efficient as possible, so that we’re generating a good amount of revenue. And you start getting there. Like if you go, if you multiply by four, our first quarter annual run rate, and you annualize it, you’re about $11 million and we’ve got maybe 90 employees on staff. You can start seeing that If we can keep the team efficient and lean and get our costs down, we can get there. And then in terms of what it could look like longer-term, in the interest of time, I want to make sure that everyone has a chance here. If you go to knightscope.com/rise, R-I-S-E, the investor deck – the updated investor deck is there, and there’s literally a slide there that shows our target of what we’re trying to get at.
Unidentified Analyst: Okay. Great. Thanks so much. Appreciate it. Thanks for the lot of work.
William Santana Li: Thanks, Barry. Thank you. Mr. Matthew Miller.
Unidentified Analyst: Hey Bill, you hear me?
William Santana Li: I can hear you.
Unidentified Analyst: All right. Sounds good. Okay. Before I get into my question, I just want to make a comment on the whole, I see a lot of chat going on about reverse splits and de-listing. The first thing I want to say is I’m unequivocally, I’m sure NASDAQ will give you a more time, the 180-day extension if needed. I’ve been trading for a long time, and I’ve never – I’ve seen companies do reverse split after reverse split, and I just want to make the point that Knightscope has never needed an extension or asked for an extension beyond what they already had. So if it came down to the point where you did need an extension, I don’t ever see them giving you a problem doing that. So I just wanted to kind of point that out, just so there’s not going to be that fear that two months or three months down the line that we’re going to be looking at a reverse split or if you listing. So I just kind of wanted to get that out of the way first. Hold on one second. Okay. So I’m going to start off my question just with a statement. So, prior to myself becoming a full-time investor, I was actually in operations and management for one of the largest security companies in the world, which is kind of why I have an authentic [indiscernible] for Knightscope. So while there are plenty of hardworking qualified human security guards, I firsthand know the challenges, costs, and inefficiencies in the security guard industry with constant pullouts turnover, folks-ready training for new hires, which then translates over to level of service. The average cost for a human security guard for a company outsourcing security measures is anywhere from $35 to $100 per hour, depending on whether the guard is armed or not. Knightscope is a cost saving efficient alternative to existing security measures. And any company looking to cut down on costs without degradation of security efforts should look to Knightscope as a solution. So any narrative contributing to a non-favorable economic climate, kind of like we are now, should actually be beneficial to Knightscope as an investment. So my question is, what can Knightscope leadership do to communicate this message to existing and potential shareholders? So basically, Knightscope is something you want to invest in as companies can save money on their existing security measures and crime obviously isn’t something going away no matter what the economic climate were in.
William Santana Li: Here, here. Was there a question in there, Matthew?
Unidentified Analyst: That was basically my question. I apologize. So let me – I know that was kind of a long-winded statement, but there was a question in there. So what can Knightscope leadership do to communicate this message that basically, you’re investing in something that is going to be saving companies, is it – crime is going to go on no matter what, and companies are going to be looking to be saving money, and currently they’re existing security measures are probably outsourcing a company for anywhere from $50 to 4100 per hour, but investing in Knightscope, you’re getting a superior service for a fraction of a fraction of the cost. And this is why it’s a beneficial, this is why it’s an investment, or this is what’s – why you want to invest in Knightscope.
William Santana Li: So I think I’m going to do all the above kind of guy. If you want something done, the Colin Powell’s doctrine of overwhelming force usually is the one I want to go towards, which is, you need to spend time on everything. You need to spend time on calls here with our investors and supporters. You need to take every podcast opportunity that you have, you need to post on social media, you need to be on the robot roadshow. You need to have some of our existing clients be able to speak to a prospective client. You need to write white papers. You need to get a board member to write a blog. You can issue press releases. Basically, you got to do everything. And one of the reasons why we did the financings the way we did is I think it would be very foolish to think that a company by itself with a handful of large institutional investors is going to make this massive change for the country. We’ve gotten so lucky with so many of our investors who’ve introduced us to a possible recruit, who’ve made a phone call to a Mayor, who called sitting congressman, who’ve been able to get a Mayor engaged, who got a school administrator to take a call to get a health – hospital administrator to engage as a client. And we can’t do this by ourselves. And I think it’s not just what management can do, it’s what can our supporters do to get the word out. There’s some things that – I would love to say that you should do, but I can’t. And all I can do is continue to improve the financial performance of the company and communicate and communicate and communicate and communicate. And that’s why I’m willing to put the inordinate amount of effort in answering questions online, offline, text, voicemail, whatever it is. And our CFO, our Co-Founder, everyone who has been tried to be as responsive as possible and we can try to just continue to get the message out, but part of its delivering on results, and we said, we’re going to continue to grow the company, and I hope the graphs we put up this afternoon show that we are. Do we want to accelerate that? Yes, absolutely. But at this point, it’s – we need to put numbers on the board and we need everyone’s help to do it.
Unidentified Analyst: Thank you so much, Bill.
William Santana Li: Okay. Is that Brian? He’s back.
Unidentified Analyst: Hey, Bill. I’m back. I’m back. How you doing? How are you?
William Santana Li: I’m good, I’m good.
Unidentified Analyst: Okay. Well, I’m going to hit you with some questions here. So…
William Santana Li: All right. Well, all right. So full disclosure, I kind of threw out my back over the weekend. So don’t freak out, but I got to stand up here for whatever jaw-dropping nightmare questions you’re going to ask me go for it.
Unidentified Analyst: Well, you’re ruining my image. So inquiring minds want to know, are you – do you identify yourself with the Millennium Falcon in the background or the Empire Fighters?
William Santana Li: You’re going to ask me that, Brian. Despite of its evil, good against evil. It’s – I mean, technologically, the fire fighters are really cool, but it – you got to be the Han Solo Millennium Falcon guy.
Unidentified Analyst: Okay. Well I know that you can’t control the stock price and what you – I’m being an advocate for you here, and I’m not a financial advisor, but Knightscope went public right at the tail end of what I would call the great bull market and the qualitative easing, and then the market turned. And if you looked at a lot of high tech companies, like you mentioned, their valuations have been crushed over the past six months. I mean, it’s never good to see, for example, bank stocks go under, it’s never good to see bank stocks swing 50% in the day, 20% in the day. Were you guys caught up in the Silicon Valley Bank failure at all?
William Santana Li: Yes, we’ve disclosed this. That was a horrifying weekend. We had all our money tied up there. Fortunately, it got resolved after the weekend. We have since pulled our – the funds over to a different bank. But yes, and it sets up, investors want confidence, right? If there’s that kind of stuff going on, does not instill confidence instilled a lot of stress on us. But fortunately, we came away unscathed and stuff like that where – we don’t control. But we can’t sit here and whine and complain either, like, it’s a problem, all right. How do we fix the problem? And you just got to move on to the next issue. We can’t woe is me the market, woe is me the short sellers, woe is me. And it’s like, listen, nobody cares. Put the numbers up, get the work done, get the revenue up, get the cost down, the rest of the stuff, like, it’s entertaining, it’s interesting, it’s what have you. But the markets can be pretty rough and what they want to see as results and growth, and that’s what we’re working on.
Unidentified Analyst: I think I’ve mentioned previously, I think your case acquisition was very timely and a very long-term strategically well-planned acquisition based on the synergies that you have with the customer base, existing customer base, the potential for upsells. Obviously, acquiring a new customer in the public studies to realm is the hardest thing. Case had a set of customers where you could go back to and refurbish or do new installs like your [indiscernible] announcement today. A question I always get from people is, well, don’t you have a cell phone? And I’m like, well, if unfortunately you’re in a situation where you’re in an – you get attacked or someone steals your cell phone from you or you’re disoriented. The first thing you’re looking for is that call. And I think the case offers that solution. And then it also offers Knightscope, the opportunity to offer the K5 or the Hemisphere or other product lines. Are you seeing that opportunity starting to grow?
William Santana Li: I think there’s a lot of cross synergies, because we’re basically going after the same clientele, a lot of cases, I guess, pun intended. I think first and foremost, the folks working on blue light towers will tell you, part of the solution is literally the physical presence of having that light there in the first place can stop some negative behavior. Second, your phone isn’t always charged. Your phone isn’t always have connectivity and just having the GPS location, we know exactly where that call came from, not, I think it’s over here. Can be really helpful? And I think selfishly for Knightscope and our – and through the acquisition, there’s a lot of synergies for us to grow together and likely some product pipeline, new things for us to do in the future. But if you look at it, 7,000 devices that are out there in the field, what happens when you’re able to do a massive nationwide upgrade and add all the AI capabilities that we have and in the long-term be able to have all these machines moving or not moving, see, feel, hear, smell and speak, like there’s inherent value creation. And it’s a little bit of a land grab. It’s not like in some of these places where these devices that case had installed over the years, it’s not like it’s easy to just show up and I’m going to go stick this on the highway somewhere. Like, it’s a pretty intense process. And yes, it’s a long-term play. It’s also – I think if you reflect on the financials that we just put up, we asserted those an accretive transaction and you can see the positive impact it’s had and the team there has been doing rather well growing. And there’s a lot more growth to be had.
Unidentified Analyst: And then I’ll just finish up here. I mean, I think having a backlog is fantastic as long as you’re able to get the products out the door and then recognize that revenue, because you really have two parts of the business, a subscription model as a service, and then, like the case model looks more of a point of sale type of service. Any update on the government security review and also the Hemisphere product launch?
William Santana Li: The ATO with the U.S. Federal Government, we’re a little in the dark here, so we’re – we don’t know anything more than what you already know. And I’m going to need to put somebody on mute here. And in terms of the Hemisphere, we’re working through some last minute supply chain and technical stuff, but we’ve got orders have come in and hopefully we’ll start the shipping that one soon.
Unidentified Analyst: All right, Bill. Well, again, I know everyone asked you about the stock price and if you’re successful in growing the company, growing the top line as well as getting cash flow positive, and it’s all about getting the number of installs. And if this economy can just kind of just – kind of trend along, I think you’ll be in a good position. You’ve been very transparent. Finally, on that non-dilutive offering that you kind of had on your slide there. Can you give any details of what that might entail? Because typically companies when they want to raise money, they issue more stock, it becomes diluted to existing shareholders or they’ll do a convertible type of offering of preferred shares that get converted to comment. Anything that you can elaborate on that?
William Santana Li: I think I can – hey, folks, if you’re not speaking, if you can go on mute, kindly would be great. I think one thing that I’ve learned without commenting directly on a possible offering or anything like that. On the private market side of things, prior to the JOBS Act, from 1930 whatever till 2015-ish, it was illegal for the general population to invest in a startup. Like, you can go to Vegas and do whatever the heck you wanted, but it was literally illegal for you to participate in a Reg A offering or Reg CF or anything like that, because none of it existed. And it was kind of an injustice where the general population couldn’t invest in promising startups, some cause that they were behind, some entrepreneur they wanted to back or what have you. And as I reflect generally on the markets – on the public markets, you look at a lot of micro-cap, small cap companies that are dealing with larger institutional investors with some – whichever way you want to look at it, highly lucrative for them or obnoxiously expensive for the issuer. And the general public typically doesn’t have access to that. So to me that feels like a little bit of an injustice. So we’re exploring to see if there’s an opportunity for our supporters and for the company. Obviously, we’re growing, obviously we need the additional capital. So to see if there’s an interesting way for us to do something non-dilutive, which remember, again, I don’t want any dilution either. So be abundantly clear here. So we’ll see, we’re still an exploratory phase.
Unidentified Analyst: Well, obviously you have the route of credit investors, you have those preferred shares sitting over in the sidelines. There’s different things you can do. But unfortunately, crime’s not going anywhere. So you’re a public safety company. Your mission is to make America the safest country. It breaks my heart every time I see something happening at schools, impacting families and children in our communities. So you’re right on mission long Knightscope, short the criminals and may the force be with you.
William Santana Li: Thank you, Brian. I appreciate that. I appreciate that. Kevin Hines.
Unidentified Analyst: Hi, Bill. Can you hear me?
William Santana Li: Yes, go for it.
Unidentified Analyst: First off, yes, thank you for your time. I’m going to try to be shortened to the point here, so some of the other people can get their questions in. So as far as Blue Towers versus K5s it seems to me that the sales on the Blue Light Towers have sort of been ramping up a little quicker than those of the K5s. I was just wondering if maybe you could touch on sort of that trend and do you think that that trend may reverse on the side of K5s anytime soon, or if that makes any sense?
William Santana Li: Yes, I understand the question, Kevin. I think because CASE was a private company and no one heard when they got their sales. Now all of a sudden, because we give it some due publicity, then it looks like it’s a big trend. I mean, I think the easier way to look at it and this is roughly speaking, so don’t quote me here. If you look at the backlog, it’s – I don’t want to say it’s 50-50, but it’s pretty close to split. So if it was like 90% backlog on Blue Light Towers and the rest were autonomous security robots, then it’d be different. But that’s not the case. So long-term, that’s a great question. How does this play out over time in terms of either quantity, which is very different. That’s the other thing to think about, Kevin. Quantity, per unit revenue for an autonomous security robot is materially different than a Call Box or an E-Phone. So we’re an uncharted territory. No one in the history of mankind’s done this before. So for me to sit here Kevin, and tell you, yes, we know exactly what’s going to happen, it’s like there’s no credibility there. I think we just need to keep pushing forward. I think the positive thing I can share is it’s green lights on both sides. And in a lot of cases, I’m looking for synergies across the portfolio. And we want to be able to tell a client yes, as much as we can, as opposed to, no, we don’t do that. So I think things are looking up and the numbers reflect it.
Unidentified Analyst: Okay. And just a couple more quick things. I think you already mentioned maybe and I just want to make sure that there’s no new update on the FedRAMP process yet, or the federal government status?
William Santana Li: Yes, I wish. Unfortunately, Kevin, I don’t have anything to share. It’s not the most – you got to be polite here.
Unidentified Analyst: I know the government…
William Santana Li: It’s not the most transparent process. How about that?
Unidentified Analyst: Yes. The government moves slow. I know. It irritates me. I deal with them all the time too. And then my last little piece of my question was just, are we seeing any release in terms of parts supply and manufacturing on producing additional units to get out in the field?
William Santana Li: Yes, no, and maybe. I mean, Kevin, I’m not there, it’d be funny. But every day is like a new drama. We thought we were good over here, and then all of a sudden it’s a problem. Or we have an intermittent problem, it’s for two weeks, we’re going to be stuck here. I’m hoping it starts leveling out. We did hire – I think I mentioned earlier, a full-time supply – senior supply chain manager who can keep a closer eye on it and try to plan ahead better. Stuff that we never thought we’d have a supply chain issue ends up being a massive problem. It could be a wiring harness, it could be a connector, it could be a resistor. I mean, it’s all over the map. We’re working through it, obviously you can see that we’ve been shipping and reflecting it on the revenue side of things. But I don’t – I wouldn’t want to say that, yes, it’s all green lights going ahead. I think the best thing we can say it’s going to be choppy. And that’s not necessarily healthy for us or the clients to have a mad rush of stuff come in. It doesn’t help on the production, quality, deployment, client experience type of things, but we’re going to just need to work through it.
Unidentified Analyst: Okay. So we don’t necessarily expect any drastic improvement to that, like within the next, I don’t know, 12, 24 months or anything like that. I mean, do we expect it to be an ongoing issue for a while?
William Santana Li: I hope it’s not Kevin. I can’t forecast that. And the problem, Kevin, is that we get caught by surprise. It’s not that it’s something we internally did and it sometimes it’s a Tier 3 supplier, the guy who gave another part to another part and then ends up affecting us. And we don’t have visibility. And it’s happening across, it’s not just us across a number of sectors. And I don’t know if the next 12 or 24, I’m hoping the next 12 or 24 months are going to be a lot better than what the hell we just went through. But I can’t promise that, Kevin.
Unidentified Analyst: Okay. Well, I appreciate your time. I’ll let you move on to the next one. Thanks, Bill.
William Santana Li: Yes, sir. Thank you, Kevin. Alan Stone.
Unidentified Analyst: Yes. Hey, Bill, how are you? It’s been a couple years since we last spoke.
William Santana Li: Yes.
Unidentified Analyst: And you might recall we did a webinar with you a couple of years ago.
William Santana Li: Yes, been some time.
Unidentified Analyst: Yes. But yes, I’ve been following your progress and congratulations on your growth. And I’ve just got to say, you’ve probably been the best person ever in the U.S. under raising money under Reg A. I can’t think of any company that’s been more successful in raising money under crowdfunding or Reg A than you. I always tell people when they’re considering a Reg A look at Knightscope, how well they did. So wanted to say that. And then congratulations on building the business and thanks for the town hall. I think it’s very transparent what you’re doing, and it’s good for your shareholders, I guess. People are asking a lot of questions about the stock price. I didn’t hear you address the potential for a reverse split. Is that something you’d consider? I guess, obviously you’d prefer not to have to do it, but…
William Santana Li: Yes. I think Alan, one important point that you may have missed where we sit on the Nasdaq Exchange, we actually have two requirements, a $50 million market cap requirement and $1 share price. A reverse would not cure a market cap issue.
Unidentified Analyst: Okay. So, yes, so right now your market cap seems to be about $25 million or so.
William Santana Li: Someone one day needs to explain to me, like, if I go to five different sources of the market cap, you have five different numbers, but yes, it’s not the $50 million.
Unidentified Analyst: Yes. So I guess we got to double the price to get there.
William Santana Li: Sorry, if you’re not speaking, can you kindly go on mute?
Unidentified Analyst: Yes. So it looks like at least I’m just looking at the Yahoo Finance, but Yahoo Finance thing, you have a $25 million market cap. So the share’s outstanding times the price of stock.
William Santana Li: Yes. I think you could go on Robinhood or somewhere else that’s exactly the same.
Unidentified Analyst: Yes. So you’ve got what 30 – how many shares are outstanding now?
William Santana Li: That trade about – don’t quote me again this, you need to refer to the filings as you know 44 million off the top of my head on Class A common. And then there’s plus or minus 10 million of Class B common that does not trade, and then another 10 million of preferred that does not trade.
Unidentified Analyst: Right. Yes, I think they just look at the offset.
William Santana Li: Class A common that trades, correct.
Unidentified Analyst: Right. So yes, so basically you got to double the price of the shares to get to that $50 million number, and that would get you over the dollar also. So yes, I mean we have some ideas that could help you. Certainly, we could help you with a research report and circulation to our subscribers. We have 200,000 subscribers to Wall Street Research, and we’d love to help you by doing a report and distributing to our global investors.
William Santana Li: Always happy to take a look. So if you want to connect offline, we’re happy to do that.
Unidentified Analyst: Okay. Yes, let’s follow-up on that and again, congratulations for taking questions.
William Santana Li: Thank you, Alan. I appreciate it. Cheers. Oliver?
Unidentified Analyst: Yes, can you hear me?
William Santana Li: Yes, go ahead.
Unidentified Analyst: Yes. I’m sorry I came quiet late, I had some emergency, but I missed quite a lot. But I wanted to ask if granting a lot of issues going on with crimes with schools. I don’t know if the leadership has a particular plan to market now Knightscope to public schools and then secondly to private schools.
William Santana Li: So Oliver, we do have clients that are public and private schools, if I’m correct already. I think one cautionary note I usually have for the sales team, especially on the public side of things is budgets are highly problematic. I think it’s fair to say our country doesn’t necessarily pay our teachers appropriately. And some are in dire need of supplies to show up there with a significant budget increase for something that they don’t have right now becomes a really difficult sales issue. I think medium-term, we probably need to work with Congress and the Department of Education to try to figure out a different path. On the private side of things, it’s a little bit better. Obviously, if we didn’t see our announcement this morning Rutgers University signed a $1.25 million contract with us. And we have several other existing clients that are, I believe high schools and some other universities and college campuses. But yes, it’s an opportunity, but need to be a little careful.
Unidentified Analyst: Yes. So with private schools I’m thinking, I went to a lot of Catholic schools, so the Catholic, they have so many schools nationwide. So the right approach for would be to now look the leadership, the Catholic education in the various diocese that way you are able to cover a whole area once you get the contract. That would be the strategy.
William Santana Li: Yes. The other concern Oliver and I forgot to mention is remember the business model for us typically works better if we’re running 24/7. We do at times do part-time shifts, but most schools don’t run 12 months out of the year, and most schools certainly don’t run 24/7. So it’s still an opportunity, but maybe less attractive in the short-term versus let’s say a hospital or commercial real estate or a casino and the like, just some – something else to keep in mind.
Unidentified Analyst: Oh, yes, yes. Yes, I understand that. That would be the same case with the most, that’s why, because stay around 24/7.
William Santana Li: Yes.
Unidentified Analyst: Okay. Yes. I heard you say that you’re thinking that Knightscope will be profitable in one year. That one year. Does you start May, 2023 to May, 2024?
William Santana Li: No, that’s not what I said. I said fourth quarter of last year; we announced that we targeted to be profitable in the next 24 months. So that would mean we are targeting to get to the fourth quarter of 2024. So fourth quarter of next year is our target to get the profitability by then.
Unidentified Analyst: Okay. Yes. Thanks for that clarification. Of course, but the – I’m doing my own part, because I’m buying a lot more stocks right now. Because since I bought them over a year ago when the company was seeing the woods, it just makes a lot more sense to buy a lot more stocks now, to have the company at least go forward because I believe, a lot in Knightscope haven’t been in security, right from the bottom all the way to quality control. So, I know what this is, and I know that it’s going to be profitable and once it starts, it will just be unstoppable. So the shareholders might not have been security professionals, at least I heard some other security professions. So we know that this is an opportunity that is going to be tremendous. So it just takes, it is a matter of time. And this year – this year’s we go back to maybe $8 that way when the IPO came out, so I just wanted to make that statement. Thank you very much over.
William Santana Li: Thank you, Oliver. And as I often say, Wall Street can be wrong typically in the short-term. It’s typically right over the long-term. And kind of what we need to do is just keep growing the company, get the company profitability, keep growing and hopefully the stock takes care of itself. But we can’t control that. That’s kind of up to all of you. Marco, you’re up.
Unidentified Analyst: Bill, how’s it going?
William Santana Li: It’s going; it’s a big rollercoaster over here.
Unidentified Analyst: Well, first let me just say congratulations on the Rutgers contract. That was a big milestone for us. It’s a big American university, and hopefully it’s just first of many, so definitely we will help with credibility on the college of university side. My question is, since the pilot started in New York, have we gotten any feedback on that’s going or if the city’s shown any interest to expand on their initial contracts?
William Santana Li: So as the mayor told the world, we are targeting to deploy the machine in June, July timeframe. So, we’re working on getting that first machine shipped out and want to make sure we do a tremendous job for the mayor, for the city, and for our friends at NYPD. So stay tuned. Hopefully we’ll deliver the machine here in the second quarter, and you might hear about it.
Unidentified Analyst: No, definitely. Just I don’t know, any other cities as large as New York are close to have any sort of similar interest to a pilot program? Obviously we’ve had other cities, other mayors, obviously had interest as clients, but I don’t know if we had any similar situations such as New York since the initial public release. They tend to start this pilot program with this first robot.
William Santana Li: So the City of Huntington Park, if you go to knightscope.com/crime they had a successful pilot the first year and then on a unanimous vote by the city council, decided to extend the contract for two more years. So that would be a city that has had a positive experience. And I guess the – my comments remain similar to the security and law enforcement professionals, local government also takes a bit of time and I’m hopeful that assuming we do well in New York City that’s going to help set the tone [ph] or reset the tone.
Unidentified Analyst: Got you. That makes sense. I think my last question is obviously with people in law and enforcement you said they’re not always most technologically forward thinking in terms of how they’ve used security and law enforcement. Have you noticed anything like messaging or after certain amount of time we’re speaking to these individuals? That eventually they come rise or like any keep part of the messaging, that the sales team and marketing, you may be just get more people at least have a better likelihood of at least giving as the try?
William Santana Li: Nothing clarifies the mind, then a sore point of a need? And I’m not saying anything that’s not been public, but the City of New York had 33,000 officers or so and they’re losing. 3,000 to 4,000 a year. And so they – they’re short staffed, they have budget and they have a problem. And that really crystallized, I think the city to really start rethinking, re-imagining public safety. And I think the, the best thing you can do with a client is just have them realize that they have a problem on their own. I think one of the other reasons we’ve done well with casinos, for example, is if they can’t hire the staff to do the security, like that’s a problem. And I think the more time we spend fixing actual problems than, than trying to convince someone that, might be skeptical is the best time that we can utilize our resources.
Unidentified Analyst: Got it. That makes sense. But yes, again, I speak with the rest of the [indiscernible] I know they said this several times already. We appreciate all your transparency and all the hard work you and your team are putting in. I know, like myself, I actually initially invested while Knightscope was still private as prior to the IPO. So again, I share people’s frustrations when you had that first initial investments to see where it’s at. But again, that the long-term where – you Long Knightscope and Short The Criminals, this is not something that’s going to be overnight, where it’s going to turn around. So I think you and the team have a good overall plan, it seems like you’re early executing in terms of revenue growth and getting the bigger contracts. So I think this momentum if you see again actually financially turn itself around. So thank you again for the work you’re doing for us, we appreciate it.
William Santana Li: Marco, thank you for the remarks and the sentiment. You have no idea what that means to the team on this side. We got punched in the face for breakfast most of the days, and just trying to get this all the work, it’s technologically very challenging. We’re somewhat resource constrained but we continue to make progress. So without your support, we literally couldn’t be doing this. So we really appreciate that, Marco.
Unidentified Analyst: Okay. Thank you, sir.
William Santana Li: All right. Thank you. Fernando.
Unidentified Analyst: Hi Bill, how are you? Thanks so much for this and congrats on the showcasing New York. I got to see it in Times Square. A lot of interest by NYPD there was, I mean, he was teaming with Officers.
William Santana Li: That was surreal. We and a police escort into town was just, I was just speechless.
Unidentified Analyst: Yes. And a lot of tourists from all over the place, Germany. And I mean, when I was in there, they were asking about the robots and the robots coming to almost like greet them. So that was very cool. My question is, and you talked about sourcing and construction, et cetera throughput, on the software and our robotic stack and AI what access do you have to the top quality to you, right? So, I’m talking about, the frontier technology of the likes of NVIDIA, and who is the technology that you are selling, perhaps not the premium but then of course it’s cost benefit to the customer. So I just like to understand a little bit, what is, what are you selling, what is needed out there at the top of technology or is it a wrong or two below that? And what are you developing on the software side, right, with the likes of NVIDIA and others really that are at the frontier of that. I’d be very interested to hear, when you talk about casinos and even the NYPD, I mean, again, frontier technology is very expensive, right? Much more so what is that balance? And what are your, what’s your vision on technology? I know that we’ve spoken before on AI, right? And how to leverage that.
William Santana Li: I think a few points and for the audience’s benefit. So there’s all this rage about AI and, when’s knightscope going use AI? And I just like, what are you talking about? How could we possibly operate across the country 24/7, hands off, fully autonomous level five without the use of AI is, is mind blowing. Like these machines literally are not remote controlled. So you need AI for that. These machines recharge themselves when they need more juice. That’s AI. You can’t detect a person in the middle of the night autonomously without AI, try to do some and one good example Ferando and the answers to you question it’s a mixed bag, so I think the first thing is just an example of, there is a license plate recognition stuff out there, right? And if you are at an airport coming in and the gates closed and the car pulls in and there’s all these lights that come on and shine onto the plate, and you get a perfect crisp picture of that plate, and you can run the optical character recognition, like, that’s kind of easy. Now go do that at 4:00 in the morning in Kentucky when it’s raining and foggy and you got half a picture and you covered like at a weird angle. Now, read that plate. Like, you kind of need to build some different models to be able to do that. So, in some cases, Fernando, it’s older technology that’s working. And it’s likely that if we can’t ship it in three months, six months, nine months, 12 months, we’re probably not working on it. Our clients don’t necessarily need or want the latest cutting edge absolute thing that may or may not work. They have specific requirements. That said, if you want to say cutting edge in terms of autonomy, if you didn’t catch the Bloomberg article from a few months ago, they totaled up. There’s like, I don’t know, two – $100 billion invested in self-driving autonomous stuff, 200 companies working on it, and no one shipped anything. Like you can – we’ve operated more than 2 million hours in the field, fully autonomous. I think you could argue we’re at the cutting edge and it actually works. Then we have a different issue, Fernando, is the company’s growing and there’s always this technical challenge of you have technology out in the fleet, out in the field, but you have a net shiny new object over here. How do you either migrate or now you got to remove and replace, doing high end cool technology in the laboratory or prototype with no customers is really fun. But in the real world, you’ve got to be able to service everything. And that’s where a little bit of the challenge comes in as to when you release a new product and the like. By the way, we do use NVIDIA GPUs. So I don’t want you thinking that we’re not up to speed on that side of things. But frankly, there are new chips in the works that other people are working on that, combine some level of vision and slam and AI that some of these other chips are either too power hungry or too expensive. So like everything, it changes really fast, which makes it exciting and also very frustrating to work on. But it’s a mixed bag, Fernando. Oh my God, Bertrand [ph]. How are you? I haven’t seen you in…
Unidentified Analyst: Pre-COVID, I think Bill, it has been a while.
William Santana Li: Yes, five years, maybe.
Unidentified Analyst: It’s been a while, but I am following diligently what’s going on, obviously.
William Santana Li: It’s all gone smoothly, exactly according to plan. Everything went exactly according to plan. That was incredible.
Unidentified Analyst: Absolutely. Yes. I might have been one of your first investor, if not, you first check for…
William Santana Li: Bertrand invest, he’s being modest. He invested at a very opportune critical period in 2013, I think.
Unidentified Analyst: By 2013, yes, it was a few days ago. So first of all, thanks for spending the time here. It’s really great to hear the progress and I know it’s Rocky Road, but nothing’s ever easy. You talked a little bit about, obviously, cost management to improve margins, which obviously is I’m sure is one of the reasons why a lot of stocks are getting beat up, including Knightscope right now. I’m not too concerned by that personally. But could you comment a little bit about competition in terms of feature offerings out there? Maybe possibly price pressure. I mean, I tend to view competition as a good thing in a market that’s growing, because it means that obviously, you’re not the only ones recognizing there’s a need for this. But obviously in terms of practical, in terms of sales and closing sales especially when it comes to pricing or price pressure, I think that’d be great to understand a little bit the overall landscape there?
William Santana Li: Thanks. So a few comments. I think first and foremost, and I mean this in earnest. Our mission is to make the U.S. the safest country in the world. We would be profoundly arrogant and naive to think that we’re going to do that by ourselves. So we absolutely applaud anyone and everyone working on public safety security, law enforcement because you need everything to be working in order for us to not be appalled by our newsfeed every morning. I think second, there has been multiple attempts by major corporations to build stuff to compete against us. I guess most notably it was SHARP Electronics dumped $35 million into an internal division that they staffed up. And they since shut that down some time ago and failed and were unable to basically ship anything at scale. Conveniently, I think Switch, which is a publicly traded data center, folks also attempted to do one and then now have since disappeared for a couple years. There’s a number of folks in laboratories and R&D and that sort of thing around the world. The only meaningful competition that I see on stuff that moves is a partial competitor, which would be Cobalt Robotics who are indoors only.
Unidentified Analyst: Yes, actually I’ve seen them locally. This is actually why this is the first one that came to mind actually.
William Santana Li: Yes. So we don’t – they’re actually been kind to us to refer outdoor business to us, because we don’t – they don’t do that. And we don’t minority – a small minority of our business is indoors. We don’t really see them in the marketplace too often competing head-to-head. There’s a lot more activity I would say on the fixed stationary side of things. I think if you go to knightscope.com/rise, the investor deck has a few comparables. One of them will be flock safety. It’s primarily a very low cost automatic license plate recognition camera. That’s stationary. There is a penny stock on the OTC, Robotic Assistance Devices, AITX. That also, I mean, maybe is doing 1 million a year in business or so primarily on the stationary side if I recall correctly. But price pressure in terms of our autonomous stuff, we don’t really have a lot of competition out there. I think that also speaks to how difficult this is. This is not necessarily easy, but price pressure we have not seen yet. It will happen, I’m sure it might, but Bertrand we haven’t really experienced that.
Unidentified Analyst: Okay. Yes, that’s good to hear. Thank you, Bill, and great to see you.
William Santana Li: Hey, good to see you too. Thanks for stopping in. Dr. Mudiyala [ph]?
Unidentified Analyst: Hey, Bill. How are you?
William Santana Li: I’m good. How are you, sir?
Unidentified Analyst: Yes, I understand, you cannot control the stock price or supply and demand. But I would say you not directly, but indirectly can help the stock price. What my suggestion is, if you spend just $500 or $600 by just $1,000 says in open market that would go a long way. Not only you. You can ask your colleagues like Directors and the officers, just invest about just $1,000 and buy something that will put everywhere all over the world. You see these people [indiscernible] are buying. That would help a lot. That’s my suggestion.
William Santana Li: Yes. We – since I’m an officer of the company, the council wanted us to set up a proper buying program for officers and I’m only allowed to buy in certain windows and that sort of thing. And it’s going to cost more money to set up the thing than help the company. So the best thing I can do is just keep telling everyone like, okay, my entire net worth is in here. I haven’t sold a single share, don’t plan to sell a single share. I’ve got 7 million of them. So if you think the pain from $10 down to less than $1 is painful on your side. I’m literally right there next to you and doing everything I can to try to fix the problem. I do appreciate the sentiment, I’m not dismissing it. But the – actually physically doing it ended up being not so exciting.
Unidentified Analyst: Yes, I know, I understand. When stock drops from $10 to $0.50, when you own 7 million, I can understand your pain. But at the same time, when you – when management buys outside, they think they believe in the company, they’re not going under. That’s going to help a long way, just putting $1,000 always you can find a window.
William Santana Li: I don’t – yes, respectfully, I don’t – for all the investors, including Bertrand, that was just on the call. I don’t – I think everyone would pretty much understand that I’m not going anywhere if I put 10 years into this to get it to this point, I think people will realize that we’re not going away. We will fight to the end to make sure that we’re successful and do whatever it takes. So I don’t think that, a $1,000 is going to hit it. I think it’s legal for me to say this. If I had won the lottery and had a few million dollars sitting in the account, would I love to go buy some shares right now. Personally, yes, would love to if I have to go through all the normal regulatory stuff. But I’m all in. So I don’t have a capability to do that right now.
Unidentified Analyst: Well, then that’s up to you. But that would help a lot because I have my company, whenever something happens, I go and buy. That’s what we do. That encourages others to put their money. Anyway, that’s up to you. I cannot force you.
William Santana Li: Okay. 
Unidentified Analyst: That’s my advice.
William Santana Li: All right.
Unidentified Analyst: It’s not now. Think about it. It’s a good strategy for any CEO or any Founder...
William Santana Li: Understand.
Unidentified Analyst: …to support the company.
William Santana Li: Thank you.
Unidentified Analyst: Anyway, thank you. Bye.
William Santana Li: Carrie Dye [ph]?
Unidentified Analyst: Yes. Hi, quick question. Appreciate it.
William Santana Li: Oh, you back.
Unidentified Analyst: You mentioned – yes, thank you. You mentioned there may be a non-dilutive fund raise or a debt offering. I know you can’t speak with absolute certainty. But do you at this point foresee that might be the last like external fundraise necessary for the company, is really kind of standing on its own revenue and maintaining itself to profitability?
William Santana Li: Oh, two things there Carrie. One, I don’t think legally I should comment on something like that on future stuff.
Unidentified Analyst: Could I ask maybe…
William Santana Li: Secondly, Carrie, I think, sorry to interrupt, but I think just in terms of practicality, I think you as a shareholder if we got to a point that, alright, we’re profitable or whatever, and then we got a huge opportunity to grow the company and we needed some financing to do it, would you want me to have committed today to not do ever any more of ever financing, like go look at, I don’t know what’s public, go look at Tesla’s financings right from inception in 2003 till now, and they got some positive cash flow were they still doing financings? You’re probably going to find that they likely did, because you still want to, and that’s what you entrust the management team and the board to do, is to see how we could generate more return for the investors depending on the cost of capital, right.
Unidentified Analyst: Okay. Thank you. That answers the question. Appreciate it.
William Santana Li: Okay. [indiscernible]?
Unidentified Analyst: Hey Bill, how are you?
William Santana Li: Good. Good.
Unidentified Analyst: Yes. Thank you so much for trying to keep us safe in America with the current trend of prime rate increasing in America. Every time that I hear something on the news that I can help it, but to think about Knightscope. And Knightscope is the solution, I mean, every time – every time literally either on the radio, on TV, it’s just why not invest in Knightscope? So that leads to my questions like with this crime rate in the U.S. just increasing – increasing by really high percentage, like based on like previous years why we are not seeing more fails? It seems like with this trend that the, the solution is Knightscope. For example – I’ll just give you an example. The MGM and DMV area in Maryland where the side I am, and it’s what they seen lots of – lots of tap in the garage, casino there. I mean, it is just like every week why will the casino invest in Mexico right product, right? It just makes sense to me and a higher return on investment compared to like really losing customers because of fear that something’s going to happen when they come there. And so that that’s really my question, and then start thinking why we not seeing tremendous sales?
William Santana Li: So I think it’s a mixed bag. So you can’t say that we have a $5 million backlog of new orders and then say we have no sales, right. Those two don’t go together. You may not like the – it’s not going as fast like you wanted to see $10 million or $15 million or $20 million, but we are trending the right way. I think it’s part of what I – I mentioned before, and I’m going to put this graph up for you. I think a lot of people joined a little bit later, but you look at this curve, we’re targeting – if you just multiply our first quarter growth from 2023, which is a 300% improvement from last year, you can’t literally say that we’re not growing because that curve starts looking a little steep, but could it grow faster? Yes. What are we short off? Staff. And, how do you get more staff, like more salespeople, more marketing people, more production people, more technicians, more QA people, you need capital. And so that’s why you can’t – you got to think through the whole business of how do I grow this company? You need additional resources. Just because you get the – the sale doesn’t mean it’s going to show up. Also, we have a backlog. Could things go faster? Yes. If we had a bigger team, things could go faster. If we had a larger marketing budget, probably goes little faster. If my CFO, she’s – if she’s on, who will kill me. If we had more than one robot roadshow pod, probably things would go faster. And – but you can’t, you’re looking at us growing 60% from last year. Right now we’re looking like we’re trending towards doubling the size of the company. Is it going as fast as we want? No. And then we also have the supply chain issues. And then lastly, I think I mentioned earlier, if you weren’t on the call to one of the other investors, is you’ve got a sector that doesn’t want to change. You know, it’s – it’s the law enforcement, security, a lot of our friends and loved ones that are in that industry are not the most technologically advanced, savvy or welcoming of folks. And that’s why to me it was a huge, massive deal for the Mayor of New York City, the largest city in the country, with the largest police department of 33,000 officers to have the entire NYPD brass and the Mayor go there in front of a robot roads show and speak to the world at a press conference that they called. Because that, I hope the Mayor’s right and we’re right that that’s going to help set the tone for others. And we’re trying to go as fast as we can, but we can’t create magic either. So all of it needs to work, right? You can’t just have one thing work, although you have great marketing, but you don’t have enough staff, or you don’t have enough staff but you can’t – you don’t have enough supply. You haven’t fixed the supply chain issues, so it’s frustrating. So I’ll more than concede the point that if you don’t know the numbers of violent crime occurs every 26 seconds and a property crime literally every four seconds. It’s a massive market if you want to look at that way or a massive problem, which is why I think, Knightscope has a huge, huge potential long-term. Like, if you can go fix this problem with some of the most advanced technologies out there, how can – how can this not be priceless for society? But no one’s ever done this before, so it’s not like, oh, well they did it, so therefore we should just follow what they did. So we’re learning, and part of this is me also spending the time today, we’re on two hours now, getting feedback from the market and trying to understand where investors are thinking as well. So, I’m not sure that answers your question exactly, but at least gives you some perspective.
Unidentified Analyst: Yes, it does. Thank you so much. At the end [indiscernible] the graph that you just shared with us. I missed it, but thank you so much for your leadership, your availability. I know that you probably don’t remember, you took some time to meet with me. So I really, really appreciate it. And then your flexibility and know that we are all here to support you in this group. We know that this is a solution. There is no doubt about it, so we’re here to support you and we can wait to see Knightscope all over the U.S.? Thank you.
William Santana Li: Man, you just gave me some fuel. Thank you. All right. Honey. Honey if you need to come off from mute.
Unidentified Analyst: Yes. Yes. Hi, Bill. Thanks for the update. I missed a big chunk of it in the beginning, but...
William Santana Li: Sorry to interrupt. The quick seven-minute video is on our YouTube channel. We’ll get it out later tonight or tomorrow. But if you need to see it, it should be published by now. Sorry, go ahead.
Unidentified Analyst: That sounds very good. My main question is, do you currently or will you be seeking sort of non-dilutive funding in the interim period here at least until the markets in general recover? What I mean is things like, I guess DARPA, DOD or Department of Interior Funding that sort of thing?
William Santana Li: We other than working on in case you didn’t see this part, other than working on the FedRAMP process, which has been very costly and taking a lot of time. We’re likely not spending more time on those. Part of the issue, Honey is that it, it’s a little weird in a lot of cases not all the federal authorities, but I would say 95%. Someone wrote down a specification of what they want and they’re asking someone to bid on it, right? And so no one’s sitting over in the fed side going, I need an autonomous security robot that does X, Y, Z type of thing, other than our – our sponsor, the U.S. Department of Veterans Affairs. So we kind of over invested in the short-term on the federal side of things and likely not going after grants and that sort of thing. I think the better idea would be after we get the authority to operate with the U.S. Federal Government then going to go seek those kind of grants. There’s a ton of opportunities, don’t get me wrong. I think after getting that cyber review checkoff that would be the utmost opportune time. In case you missed it, so I’ll also include in the video that’s on the, just the thing where we’re getting additional cash you can see there – there’s seven kind of avenues as to where we can improve our cash position that we covered earlier in the session. But you can check out that on the video when you have a moment.
Unidentified Analyst: Thanks Bill. Thanks. I appreciate everything you guys are doing. Thanks.
William Santana Li: Adam.
Unidentified Analyst: Good afternoon. How are you?
William Santana Li: I’m good. I’m good.
Unidentified Analyst: You’re back.
William Santana Li: I’m standing and I’m – I got my Knightscope mug, so all is fine.
Unidentified Analyst: Good. I have a question. This is sort of a follow-up from the discussion we had last month, and that has to do with the case acquisition. Your two stationary emergency posts, the phone systems and emergency communication.
William Santana Li: Yes.
Unidentified Analyst: And again it sounds like you – you really hit success with the sale of those two records. Am I correct?
William Santana Li: I mean the – one of the reasons we’re excited to buy case last year was they had some market traction that was material in nature. They’re profitable. They have a complimentary portfolio products and they have a massive footprint that I desperately want to do a massive nationwide upgrade. And the teams continue to deliver and putting up the numbers that, we were hoping, and hopefully they continue to do so. I know a lot of folks are like, well, it’s not a robot. And I’m like, you we’re not a robotics company. I told you for 10 years that we’re here to make the U.S. the safest country in the world. If you told me we could do it with rubber bands and paperclips, then we’re going to go invest in rubber bands and paperclips, right. So we really need to have a large portfolio products because terrorists and criminals can be anywhere. So we have to be everywhere.
Unidentified Analyst: Right, I understand. Bill, the question I have is in terms of, that particular product group of your backlog, what proportion of your backlog is, are those products versus the robotics?
William Santana Li: So Adam, it because it changes daily and I’m not trying to be wishy-washy about it, crudely speaking, it’s half and half and it can change dramatically because, we sign a huge contract, it could switch either way, but roughly speaking it’s about half and half.
Unidentified Analyst: Okay. And being here in Hollywood, I’ve seen your, the 5 Series at Kaiser, at the Kaiser Hospital and also at…
William Santana Li: The 5 Series. I’m going to call my friends in Munich at BMW and they’re going to have a field. They tell them what you said.
Unidentified Analyst: Yes. Better than the three series.
William Santana Li: You met the K5.
Unidentified Analyst: Yes, but I’ve seen, the robotics your security system at Kaiser, you’re at the hospital as well as the stationary and the moving product at LAX in the parking deck. And so, and those look really nice and it’s a very nice system.
William Santana Li: Took some doing to get them there. But we’re, there’s a few more hospitals in the U.S. and there’s a few more airports. Right.
Unidentified Analyst: Am I correct that, when you sell versus lease, when you sell the stationary, these stationary case systems that you’re selling them and you’re not leasing them? Or are those both sale and lease?
William Santana Li: I hate the term lease because it implies you have a financial interest in the particular asset. And our subscription model isn’t exactly that. Right? You – if you get a BMW 5 Series, you’re leasing that VIN number and in our case that, that’s certainly not the case, but I understand your point. So it’s delineated in our regulatory filings.  Most of the stuff that we inherited from the case acquisition, or I say most all of the stuff is sold outright. And the intellectual property, the asset is owned by the client. However, in a lot of cases, in a good number of cases, they come with a service support and or maintenance agreements. So it’s a little bit of a combo. On the autonomous security robot side, it’s all machine as a service and we’re not selling any of the assets outright. 
Unidentified Analyst: Thank you.
William Santana Li: Of course.
Operator: Tom Schwartz [ph]
Unidentified Analyst: Hello Bill.
William Santana Li: Howdy?
Unidentified Analyst: Thank you. Thank you for your time today and for being on and sharing all this information with us. It’s helpful to me as an investor to know where we’re at. I’m an early investor. I think my first was in 2020 pre-ITO, your CASE at acquisition was a brilliant idea. I think that was great addition and certainly seems like, so reasonable and certain like a perfect idea, for what you’re trying to accomplish. So I to hear that, I wanted to let you know, you are working on a federal acquisition to get on acquisition list for VA.
William Santana Li: We’re working through yes, we’re trying to get through a cybersecurity review with the federal authorities and the sponsor/client is the U.S. Department of Veterans Affairs.
Unidentified Analyst: Got it. Well, they’re building a new hospital here in Louisville, Kentucky.
William Santana Li: Yes. They, so the Chief Security Officer there, he’s got 143 police departments, I think he told me. That he has to manage and it’s just, he can’t keep throwing bodies at it. And he needs help, which is why he’s, him and his staff has spent now north of two years working with us to try to get us through the system.
Unidentified Analyst: Well, I hope you’re successful soon enough to put it in here because it would be a really smart thing to do while they’re building.
William Santana Li: Yes. You and me both. It’s, I thought it would take a long time, but yes, just a bit of a nightmare. I think the only kind of saving grace is, as a lot of folks defense side of things is, getting into the Department of Defense is a complete nightmare. But once you’re in, it’s hard to get kicked out. I guess it’s not a great way to say it, but it’s a much stickier client, which is why we were willing to, take the calculated long-term risk. If I were to go work on this for 10 years and go take the company public, sell my shares and go sit on a beach, like I would never have signed off on that because I knew it was going to take forever and put our team through a lot of pain and suffering. But because that’s not the case, and I hope everyone understands that, we’re serious about what we’re trying to do here, we should be willing to take, calculated sometimes controversial risks that put, a bit of investment in something that we think could be really big for us. And I’m hoping, Tom, that when, and if we get that ATO or authority to operate, it’s going to spill over to the private sector. Like, I don’t know how many times, our team ends up with these massive cybersecurity questionnaires and what have you, and if we can just go, Hey the feds just put us through hell for two and a half years or three years, or whatever the number ends up being what is it that you’re going to ask me that’s really going to be not covered? I’m hoping that’s going to expedite some of the sales, especially in the healthcare and financial institution, and I’ll say larger city government side.
Unidentified Analyst: Well, and yes, it would just do nothing but, and your credibility, which New York does too?
William Santana Li: Yep.
Unidentified Analyst: Yep. I understand the whole stock price thing and stocks get valued and accurately all the time, and it’s something that happens and I understand the profitability, past the profitability that you outlined. How about your cash till you get there? When would you project having at least get too close to a positive cash flow in that period? Or even just where you’re not burning?
William Santana Li: I think it’s appropriate to say, if you read carefully, the 10-Q that we filed on Friday for our first quarter results. Our CFO went out and kind of did some, I would say loose projections and, we’re we were prior, were burning a lot more money and we’re probably, on the order of, or less than a million a month which is what was reflected in the 10-Q. And we’ve got as I mentioned, and I’ll put it back up for folks, there’s seven avenues for us to be able to address those. So I’m not sure we’ve gotten that sophisticated to delineate between, cash flow positive and, and profitability. But plus or minus, fourth quarter of 2024 is, we’re hopeful to get to that point if not much sooner. And it’s very, product, its product mix. It’s our costs and both on the variable side and the fixed side. I mean, we just need to continue to grow the company and we need to get some of these costs down. And that’ll get us home. And, fortunately we’ve had enough growth to hopefully show everyone on this call and the street that that the company is growing double digit growth. It’s a pure AI play. Like this is not, someone’s R&D project somewhere. We’re literally operated over two million hours in the field with paying clients. So if you want to play on autonomy, on robotics, on AI and electric vehicles, like Knightscope is literally at the intersection and working on a huge problem. And so I think, we need a little support and help from our, investors and supporters. We need the team to continue to work, extremely hard. We continue need to execute and hopefully to, stock price will take care of itself in the future.
Unidentified Analyst: Well, thank you for answering question.
William Santana Li: Of course, of course. I’ve been attempting to monitor the chat on the side and I’m sorry folks. There’s some inappropriate stuff in here and there’s a lot of spam. And if you’re still on and I don’t answer your question on here, if I could – kindly ask you to raise your hand and ask me directly as trying to go through this chat is going to be an impossibility. So Tom, if you had another question, feel free. But unfortunately we’ve got some people here that probably shouldn’t have been on the call. Anybody ask a question that’s wasn’t answered today and you’d like a moment, please raise your hand. If not, we’re at two hours and 15 minutes and I’m still standing. All right. Going once, going twice.
Unidentified Company Representative: I think Tom has his hand raised Bill.
Unidentified Analyst: I can take it down.
William Santana Li: You’ll take it down. Okay. Anyone else? Okay, if not thank you everyone for taking the time. If you didn’t want to ask the question and you still need an answer, you can write to me directly at invest@knightscope.com. I literally am the person that answers the questions. So again, invest@knightscope.com. If you need any of the latest go to knightscope.com/rise and you’ve got the latest videos updated deck and the like. All right. Well, thanks everyone for taking the time out of your busy schedules and as I’ll often say, and we’ll continue to say Long Knightscope and Short The Criminals. We’ll see you on the other side. Thanks, everybody. 
Unidentified Company Representative: Take Care. Thank you. Bye-Bye. Cheers.
Operator: Goodbye.